Patrick Koller: Good morning, and welcome to our 2020 Results Presentation. I also would thank you for your interest. The agenda of this morning, I will start with the 2020 Highlights followed by the Financial Review made by Michel Favre and we will close this session with takeaways and Q&A session, 2020 highlights. So the first thing is of course related to the COVID-19 and how, with Safer and Stronger Together, our protocol we resisted to it. It worked well and it is recognized by our population, our Faurecians' through a survey, an employee survey we've made, which showed best ever result in terms of being federated to what we are doing. So thank you very much for all our people for this discipline, and this rigor in the way we implemented it. It's also related to agility and resilience during this period of time, which allowed us to even accelerate our cost reductions and we will be back on this. Strong recovery in the second half. All the committed targets are over achieved. Sales of €8.5 billion, we had a target of at least €8 billion. To be underlined, Q4 at plus 2%, excluding about €100 million tooling and prototype sales, which we will find back in 2021, they were delayed. If I would also consider in this fourth quarter about €100 million of late SoPs or delayed SoPs, we would be significantly above the IHS Q4 forecast. An operating margin at 6.1% for a target of at least 5.5%. We had €45 million of one-offs, which will be explained, without them, we would have been at 6.7%. And EBITDA margin at 13.8% and net cash flow, and this is really the good news, at €1.1 billion for a target of at least €700 million, which allowed us to be - to offset the cash spent in the first half. It shows also that we are able to cope with a reduction of volumes of about 20%. And this allowed us a significant deleveraging. Rigorous management of liquidity with recovered financial flexibility at year end, in fact, at year end, we were €800 million better than the 31st of December 2019. A new record intake of €26 billion and I will be back on this figure. An accelerated momentum for hydrogen which confirms our strategy, we strongly believe in the acceleration of the hydrogen activities. And deployment of Carbon Neutrality Program with ambitious targets, we have two ESG targets, priorities. It's Gender diversity and CO2 neutrality. About customer satisfaction, the reality is that only the order intake is a very concrete reward related to customer satisfaction. It is related to innovation through a technology to performance. It is of course related to quality, it is related to the easy to work with and it is related to competitiveness. We achieved €26 billion which is our record figure and which allows on a full year cumulated an order intake of €72 billion. We would see during the CMD this afternoon, how it mechanically allows us to forecast close to €25 billion in 2025. We over achieved also the order intake of Clarion Electronics related or compared to what we indicated during our CMD in 2019 at €2.5 billion versus €2.1 billion. And China represented 20% of our total order intake. So, we are here, I think on the right momentum, it was a great year and this is the level we want to maintain for the years to come. About 2021, so, our current assumption is maybe conservative, at 76.6 million vehicles. It represents versus the 70.7 which were achieved in 2020 plus 8%. Versus IHS, latest forecast, which is showing plus 14%, we are below. We are below, not so much in H1, we are more conservative versus IHS in the second half. In the first half, related to the COVID and the COVID variants, but also related to some supply chain disruptions to start with electronic components, but not only, we see some risks. IHS since December of last year, has reduced for the first half, I should say the first quarter its forecast by about 900,000 vehicles. So we are pretty much aligned with the forecast in the first half but we have for sure opportunities in the second half which our small table here is clearly showing. This allows us, a 2021 guidance with a strong operating leverage and solid cash flow generation. Again, it is calculated on a forecast of 76.6 million vehicles. With this one, we forecast an excess of €16.5 billion of sales with a strong outperformance above 600 basis points. And I think that this is what will characterize the day and including the CMD of this afternoon, we are back on outperformance, on sales outperformance. An operating margin close to 7% of sales which close to the pre-COVID level and net cash flow of €500 million, which is including €180 million which are related to cash outflow from the restructuring we decided and we executed in 2020. With this, we are here better than the net cash flow we generated in 2019. You also have, for 2019, to exclude the sales of our headquarter in Japan, Saitama. This allows us a net debt to EBITDA below 1.5 times at year end. This was in a nutshell, our highlights and now, Michel, the results.
Michel Favre: Thank you, Patrick. Good morning, ladies and gentlemen. So I will start with this curve of recovery of sales. As you can see, and it is usual for the automotive business, recovery was very quick, though still low volumes, mainly July for North America and Europe. A quick recovery, close to volumes, I speak for the worldwide market production, to - we say the one of 2019, knowing that 2019 is a low base in the cycle, something like minus 8% versus 2017. As Patrick highlighted, we were impacted by low level of tooling and prototype due to the postponement of start-up of production. This will, of course, favor our growth in 2021. And of course, we will have a lot of start-up of production, as you know. So altogether, we are at minus 0.3% in Q4 versus last year, so I would say, very close to 2019. You have on the top the evolution of our sales. So currency effect was highly negative due to the dollar, first, a little renminbi. On the other side, we have the benefit of the integration of SAS, the scope. And this we will have still one month in 2021 because we were consolidating since the 1st of February. So you see the figure, €324 million for SAS. Altogether, minus 3.5% organic growth with respect to the market, at minus 0.3%. You will see that we're accelerating, this first quarter is always showing an acceleration and clearly, you will see months per months in 2021 a strong acceleration. We are very confident that we will outperform the market by more than 600 basis points. We'll be helped as well by the geographic mix. For the result, you have a lot of impacts, scope, etc. In the scope and other, if you remember, there was a €16 million in 2019 PIS-Cofins one-off. Cautiously, we didn't book anything last year. We are waiting for a final ruling. But clearly, we have as well an upside on this. What is important to notice is, first, some one-off due to the COVID. We have, I will say, we have depreciated our inventory of mask. We were facing an administrative closure of an important plant in North Africa. The cost of it was more - close to €10 million. So this, of course, is a one-off due to this famous COVID. We have as well provided cautiously the end of some production of some Chinese carmakers who were definitely with the damage and, I would say, killed by the crisis. So altogether, and it is important to notice that the run rate is 6.7%. If you take this run rate, if you take the growth due to the outperformance, if you take the cost cutting, and I will go back on that, and last but not least, the improvement of margin because we will start a new model through projects at a better margin than before and mainly at a better margin, of course, than our guidance because the goal is 8%, we can enter in 2021 with, I will say, very positive figures. Cost actions, I am highlighting here only the recurring. I will say, cost action, the one which will be valid anyway in 2022. So on the half year, we have accounted €66 million. You will see the figure now for the full year, which is on the bottom, €145 million. In my budget, and you know the commitment, when I compare 2021 and 2019, we are over €150 million net cost savings between '19 and '21. And this figure will be above €200 million net cost savings. So we are in a much better shape. I will not come back on the figure for the full year. But clearly, we have demonstrated our resilience. We have demonstrated as well how we are building, I would say, a strong profitability in 2021-2022. Zooming on the business, Seating is back to the profitability of '19. Seating was impacted by this problem of COVID in North Africa. So we are now speaking of a 7%, close to 7% margin in the second half. And clearly, Seating will post, firstly, a very big growth. You know that we have some important start-up of production, some are well-known, the Jeep Grand Wagoneer. But as well, we have the Nissan Frontier. We have the first start late 2021, it will be more for 2022 of two big platforms for frames. So Seating will be probably the best, I will say, efficient business in 2021. Interiors, impacted by the, I would say, the drop of sales by some customer mix. Clearly and the tooling sales, sorry, they will resume growth and outperformance this year, probably something like 300 basis points, 400 basis points. You see the operating margin, 4.3%. As you have seen, we have announced that we are stopping the activity of Decoration, that we are divesting the Acoustic. That means that, in fact, pro forma, we are above 5%, and Interiors will be very probably at 6% or above 6% in 2021. Clean Mobility impacted by the, I would say, the trend on the commercial vehicles, both in Europe and North America but resuming of a figure of profitability close to 10%, some impacts in the COVID as well. So clearly, next year 2021, we are clearly targeting the same magnitude of performance than Interiors, 300 basis points, 400 basis points, and somewhere, I will say, a margin in double digit. Clarion Electronics, probably, I would say, a very efficient turnaround, very big cost-cutting program achieved. As you can see, we are in a low level of sales. We are giving a target of more than €900 million of sales for this year, so big, big growth. And on top of that, of course, margin, which was flattish, zero, this year, will go probably to something like 3% in 2021. Europe was impacted by the low volumes, including for the fourth quarter, was impacted by the tooling sales, which is why margin is slightly below 5%. As you know as well, Decoration and AST are as well European activities. So Europe will be back to growth and with an outperformance. And as well, Europe will be back probably to something like 6% operating margin in 2021. North America, same thing in 2020, low commercial vehicles as well some difficulties for the Nissan volumes. We have a lot of start-up of production in North America. We are - we'll benefit of this growth. We have the benefit of the cost-cutting program. So clearly, the same thing as Europe, a margin of 6% minimum must be achieved. Very good performance was Asia and mainly China. We strongly outperformed in China, and we continue to strongly outperform this year. We are back to double-digit profitability. And as you have seen, we have provided some risk in China. So the margin must be as well inflated with this impact, so very strong performance. And as you know, 2021 started on a very positive basis. So we are very positive, and we think that Asia could be, I will say, a further upside for the group in 2021-2022. South America, more complex to comment, strong drop of sales. Now on one side, we were clearly reducing our exposure to Argentina, which was a loss-making activity. We have made our homework to variabilize cost and to save this 3% operating margin, which must be repeated at least in 2021. For the Group, gross margin at 12%. We target to be back at the level of '19 in 2021. What is important to notice is a big reduction of R&D, 24.9%, and moreover, of course, of gross R&D. In the capitalization, you see still a high figure, but we have €225 million which are tooling. So that means - which will be sold this year. So without that, it is €619 million, so very low figure in respect to the past, with also the fact that we have some small pyramid scope impact. And on the selling and administrative expenses, we reduced by minus 10%. We made as well our homework on this side. For the rest of the P&L, what is clearly to be noticed is the restructuring, big acceleration. We massify our plants. We were closing a lot of plants. At the end of the year, early this year, we have some, I would say, important impact coming from one announcement from Ford, that they will reintegrate an activity in Cologne, and we have provided for that. And same thing, the Ford closed their operation in South America, will close very soon. And as well, we have provided that in the balance sheet of 2020. So it is why the figure is quite high. We are giving this, I will say, guidance, is that figure will go back to something like €120 million P&L impact and less than €100 million from 2022 onwards. On corporate tax, a high figure. If you remember, we impaired some deferred tax asset in the first half. Cautiously, we were not recovering that in the second half. And this is a clear upside for the future. And to be blunt, we have more than €500 million of cost of tax, I will say, P&L impact and to recover in the next years. We are back in France to positive figures now since, I will say, '16. This will accelerate and will favor this recovery. Cash flow, as Patrick was saying, it was the best performance. We're above our expectation. We were back in H2 to a very positive figure, €1 billion. What is very positive is that we were able to recover the negative working capital of the first half. Of course, with the CapEx, we made our homework, a reduction by 40%. Capital R&D, same thing, more than 15% reduction. A part of this will come back in 2021. Take as an assumption that CapEx will go back to something like €650 million and capitalized R&D to something like €700 million. We will have a one-off impact in 2021. It is restructuring, more probably something like €180 million cash-out because a big part of the people leaving will be paid - or are paying, in fact, this quarter. So altogether, when you will compare 2019 and 2020, EBITDA, at least the figure of 2019, CapEx reduction, capitalized R&D, same thing. More, I will say, restructuring. Working capital, we target to be flattish, even positive. As you know, we have a big target, which is to reduce inventories by one day, €90 million. On the bottom, you have €99 million in 2019. This is the Saitama divestment highlighted by Patrick. Of course, it was a one-off. So altogether, when you take our guidance of €500 million, it is a much better quality of the figure of '19. For the figure below the cash flow, the main impact is the SAS acquisition at [€164 million]. But what is remarkable for us is that I gave a guidance of €3.5 billion of net debt. Thanks to the net cash flow of the second half, we were able to reduce our net debt and to be at €3.1 billion, which is a very positive figure towards less than €3 billion in 2021, which is our target. As a leverage, this allow us to be below 2. In fact, if I take the run rate, we are already very close to the 1.5 indicated in this slide. I gave, if you to remember as well one key objective, it was to overtake €1 billion of EBITDA. You see the figure. And with the run rate we have, we'll improve, of course, the figure, this figure, in the next two semesters. Small flash on the debt, we have announced our - we said net debt with the issue of the two bonds, one new bond and one tap, €1 billion late July. So as you can see, we have a very solid maturity, something like 5 years; low cost, something like 2.7%. We have a very large, I will say, flexibility through our, I would say, syndicated line, more than €1.2 billion. And last but not least, a very solid liquidity. So I think we have everything to, I will say, make a very nice rally in the next 2 years. And last but not least, as you can see, strong confidence in our capability to drive all our targets. One is to go back to dividend. We passed the dividend last year in respect to the net cash flow. We are back to dividend, €1 per share. And our intention, our objective is, of course, to restart the strong rally, the strong momentum you can see on this slide. Now, I give the floor back to Patrick for the conclusion.
Patrick Koller: Thank you, Michel. The takeaways, in 2020, Faurecia continue to deploy its strategy while achieving a very resilient performance and getting ready for 2021 which is a specific here for Faurecia. As far as the strategy is concerned, we made a record year in terms of order intake with €26 billion, we accelerated further, our hydrogen mobility solution's activities on both sides, on the storage side and also with Michel on the stack side. We committed on ESG, our two priorities. You know, we have very clear targets and we are focused on these targets, CO2 neutrality and Gender diversity. It's something we will detail more this afternoon during the CMD. A very resilient performance in 2020, with the recovery of our profitability in the second half, achieving an operating margin at 6.1%, 6.7%, excluding the one-offs; an EBITDA margin at 13.8%, I said it before; and sales level in the fourth quarter, which is preparing the path forward in 2021. And strong cash generation in the second half exceeding €1 billion and offsetting the cash consumption we had during the first half. Strong liquidity restored, I said it before, €800 million more than the 31st of December 2019. Why is it a special year for Faurecia? First of all, because we are back out on sales outperformance and I think that this was important. We set it, we knew it, we saw it coming with through the order intake and our order book but it's now becoming reality. Independent shareholder structure, with an excess of 85% of free float past spin off, which should support new value creation opportunities. On track for 2022 and also, ready for the 2025 ambitions, we will present during the CMD this afternoon. Thank you very much for your attention. And we are now open to start our Q&A session.
Operator: [Operator's Instruction] We will now take our first question from Thomas Besson from Kepler. Please go ahead.
Thomas Besson: Thank you very much. It's a pleasure. We will have three questions please. Firstly, could you come back on some of the elements of divestment and acquisitions you've announced recently, please, both in terms of the Decoration system and what you've acquired in hydrogen? Could you just give us maybe the revenues annually of these two activities and the impact on the profitability of the group that integrate? Second question, I'd like you to come back on the main growth drivers for Asia in 2021, understood that it was going to be with North America, the main area of growth. And lastly, more of a housekeeping question. Could you give us an indication of what we should expect in terms of CapEx and tax rates for '21, please? Thank you.
Patrick Koller: Thomas, divestments and acquisitions, we decided, to divest our Acoustics activity and we also decided to dry out our Deco activity. Cumulated in 2020, we represented about €380 million of sales and an excess of €35 million of losses. AST why? Because we have no chance to achieve a leading position on this activity, we believe that this activity will develop much better and will be you know, synergetic to Adler Pelzer. So I think that this is a good move. It is not directly related to the core business of Faurecia. Nevertheless, we decided with Adler Pelzer to continue to partnership on this and to integrate them into our “Cockpit of the Future” developments. On Deco, it's part of the Deco. We are here focusing on aluminium part and some wood parts. It's an activity we entered very late and we have never been able really to catch up with the best in class in this domain. The dry out will be effective the fourth quarter of this year. So, it means also some restructurings which have been decided and which have been accrued in 2020. Yes, we will grow in Asia in 2021 and in North America. In Asia we will grow significantly with FCE which has won a lot of new businesses. Clean Mobility will also be back with a significant growth even if in China for the CVI, we have a very specific - for the Commercial vehicles we have a specific situation but regulations will support Clean Mobility and we will have growth related to the new joint ventures we have decided in 2020. We have signed in 2020 which will pay off and which will support and boost our growth. Sorry, for the first part, divestment and acquisitions, I forgot acquisitions. We bought CLD. CLD is one of the top three Chinese hydrogen storage system suppliers. We are very proud of this. It's a company which is providing tanks to Toyota, which is providing tanks to Hyundai and which is a leading technology company, very active with fast growing OEMs in China. So, this is just a sign but we will continue our development, we will detail this development on the hydrogen side during this afternoon. On the storage, on the hydrogen storage side, we will have plans in 2021 active, delivering serial components in China, in Korea and in Europe. CapEx?
Michel Favre: Good morning, Thomas. €650 million.
Patrick Koller: And tax rate?
Michel Favre: Tax rate, 25% to 26%.
Thomas Besson: Thank you very much to both of you.
Patrick Koller: Thank you, Thomas.
Michel Favre: Thank you.
Operator: We will now take our next question from Stephen Lightman from Société Générale. Please go ahead.
Stephen Reitman: Yes, good morning and congratulations on the figures. A question just on your forecast for 2021. Is this the furthest you have digressed from IHS, I just want to get your feeling for the ability to predict the market in 2021? And because obviously, we have quite divergent views from some of the OEMs on Friday, [Reno] closed on quite a cautious note whereas I think some of the Germans have been much more positive. So I'm just really looking at your kind of thought process there?
Patrick Koller: Thank you for this question. Forecast, '20, so, the first half and especially the first quarter is uncertain or was uncertain because time passing, we have more visibility mainly related to the electronic components shortages. I think that this is more a supply chain disruption issue than a capacity issue. It is related to some very different momentums on the orderings especially starting in the second quarter of 2019. I think that the peak of the disturbance will be achieved in March. What we see today is we have sporadic slowdowns or shutdowns, it might be a one shift. It might be a few hours, but we don't see something massive. We don't see it neither in Europe, nor in America, or in China. But when we listen to our OEMs they don't know, they are not procuring directly these components, they are you know getting the information through their Tier 1s and their big Tier 1s. One supplier in Taiwan, to give you an idea, is representing, a wafer and microcontroller supplier is representing about 70% of the world-wide automotive requests. And these 70% are representing for him less than 3% of its sales. So, this gives you the situation in which we are. It's a supply chain which was not correctly managed, maybe not correctly known. And this has to change in the coming months. COVID-19, we had also at the beginning of the year, the concern about the variants, which is still there, but seems to be under control. When you look at globally, we see a slight contraction of the contamination rate. I'm not saying that we are out of the difficulties, but nevertheless, this with the vaccinations and the vaccination campaigns should support a recovery at the end of the first half. So in a nutshell, we have about 4 million vehicles difference with IHS, just, less than 1 million in the first half, and about 3 million in the second half. So if the things would get confirmed, if the today identified risks would get mitigated until the end of the first half. We clearly have an upside, an opportunity on volumes in the second half.
Stephen Reitman: That is very clear. Thank you.
Operator: We will now take our next question from Horst Schneider from Bank of America. Please go ahead.
Patrick Koller: Horst? We can't hear you.
Horst Schneider: I'm sorry. Can you hear me now?
Michel Favre: Oh, yes.
Patrick Koller: Yes, perfectly. Thank you.
Horst Schneider: Okay, thank you. Sorry, I was on mute. On the shortage issue, Patrick, and when you made the introduction to your speech in this call, you said it's largely semiconductor. Just want to understand is there's also shortage on other materials? And then may be also relating to supply chain, and as a follow up to that also, I think you don't suffer from higher purchasing costs, so because it largely pass-through for you, but maybe you can update us on the impact? Then the other question that I had that was on the outperformance and maybe if that is related also to a positive mix effect because the OEs basically prioritize the more profitable models that you have gotten also more content. So maybe you can also elaborate on that. And the last one is more housekeeping issue, but when is now exactly the spin off from the Stellantis happening? Thank you.
Patrick Koller: Thank you for the questions. Shortages, the main shortage is very clearly the electronic components, but you also heard about containers, maritime containers especially for the routes between the U.S. and China and Europe and China. We are not impacted by that, we have very low traffics between the regions. We are domestic - very much domestic in all the region in which we are operating. On the, and by the way, these shortages are normal after a crisis. It would, it happened exactly the same way in 2008 and 2009. So this will probably normalize during, in the weeks to come. Raw materials, we see increases in raw materials in steel, in plastics and of course in electronic components. But as you said, we have a significant percentage covered by mechanical pass-through equations. Our net risk in brackets, we will deal with it of course, is around €20 million for the first half. Our content per vehicle is growing. Yes, we are and this will be you know detailed this afternoon, business group by business group. You will see in our mix, our product mix and how our content is calculated versus average. We are quite strong on the premium vehicles and we are strong on SUVs and electric - battery electric vehicles and all of that, is supporting higher margin through higher content per vehicle and more sophistication. Stellantis, a General Assembly will be organized March 8, after that the distribution of the shares should happen. We do not have yet the precise date. But our own guess is that this will happen until the 16th of March. And it was, again recently confirmed by Stellantis.
Horst Schneider: Okay. It's very clear. Thanks very much.
Patrick Koller: Thank you.
Michel Favre: Thank you.
Operator: We will now take our next question from Tom Narayan from Royal Bank of Canada.
Michel Favre: We don't hear you.
Patrick Koller: Hello, we don't hear you.
Michel Favre: You are probably on mute. Tom?
Tom Narayan: Oh, sorry. Okay. Yeah. Tom Narayan, RBC. Thanks for taking the question. Question on the –the first question on the H2.
Michel Favre: We don't hear you. We are losing you. Can you can you repeat?
Tom Narayan: Yes. Sorry. I'll start over again. A question on the H2 margins on slide 10. How much of the lower R&D and SG&A comes back in 2021? And then if I may, and I know you'll cover this in the CMD, but I'd love to ask a little bit about the long-term guidance, if that's okay. And I know you're calling for this 11% CAGR which includes a 5% per year which would imply a 6% market growth per year. I understand the outperformance but the market growth implies something like 106 million vehicle production level in 2025 and I know some of this comes from China. Just curious, what you're assuming they're from the U.S. and Europe given those are rather mature markets, which you know, the IHS has a peaking in 2023? Thank you.
Patrick Koller: I will start with the long-term guidance. So, what we take is as a reference, IHS. And considering our starting point and our convergence back to the 2017 figures, we are delayed versus IHS. So, we are a little bit more conservative and you will see this afternoon we will be back to the 91 million vehicles achieved in 2017 not before 2025. This said, we are communicating about our outperformance versus the market. So, if we would have on the market a little bit more volumes, it will not reduce our outperformance. Our outperformance will be above 500 basis points between 2021 and 2025. In fact 2020 and 2025 and with some differences, but which will be detailed business group by business group this afternoon and we feel quite confident that this is perfectly achievable.
Michel Favre: For the H2, if you remember H2, we say production market is 41 million vehicles. So, we are already in H2 as horizon of 2022. I have given us the figures of the net cost savings of €66 million, €68 million. So, this is clearly recurring, it is a minimum that could be achieved in fact we'll add minimum €30 million into this figure. And if you take out here of if you have €60 million would refer portfolio. So, this is fully secured and we have as you know the restructuring as we half escalated in the second half which will have a full year impact from mid to the end of this first half, so we are totally confident that the €200 million net savings will be done, will be achieved and even more.
Patrick Koller: The life after the COVID will be different. When we take, for example, on its SG&A, the travel policy. We will travel less, for sure. We might travel longer, less frequently. Yeah? We believe that we will cut our travel expenses by at least 40%. We worked on our efficiency, and we believed that the world would collapse if we would not be able to send our experts around the world in mass. None of this happened. We have a high level of autonomy in the different regions, which is really good news. So we have learned to work with the digital tools and traveling is not really needed. I'm making several plants - digital plant visits per week. It works very well. It allows me to have a good understanding of what's going on, it allows me also to make a follow-up from one visit to the other. So, I think that, we will organize ourselves clearly differently in the next future.
Tom Narayan: Okay, thank you.
Operator: We will now take your next question from Sascha Gommel from Jefferies. Please go ahead.
Sascha Gommel: Good morning and thank you for taking my questions. I do have three actually. The first one is on the flowback. I think you have the approval to buy back up to 10% of your own shares. Are you considering to buy into the flowback in case the share is under pressure?
Patrick Koller: Do you want us to - so thank you for your questions? Yeah, we will - we have the ESOP, the Employee Share Owner Plan, which will represent about 2% of our shares. And clearly, we will have to buy back shares and we will do in at the appropriate timing. Michel, you want to add something to this?
Michel Favre: This will be made mainly during the period just after the spin-off. We consider that the spinoff is a fantastic opportunity for us to globalize our leadership. Yes, some big funds were affected, so they've, sorry to use these questions, the vocation now to enlarge - to enter or to enlarge into the capital of Faurecia. So we are very confident that this drawback will be an opportunity and probably you have seen the declaration of drawback will show that we will at last normally eliminate as a famous discount and due to the urging or controlling position of this.
Sascha Gommel: Very clear, thanks. My next question would be on the Clean Mobility division. When I compare the kind of let's say recovery in the second half of the year, it was on the margin side and it was a bit less than in the other two divisions. And I would expect that, given the CO2 regulation in Europe that that division should actually bounce back a lot stronger than the others. Any reason why that one was a bit lagging in the second half?
Michel Favre: As I indicated, some one-off were impacted Clean Mobility. The second thing was a very low volume of commercial vehicles. You know that commercial vehicles was more impacted than the lighter vehicles. So clearly, we say recovery on this segment as well will add a lot on Clean Mobility. And I can tell us that the last quarter was already at a target you were giving to the Group.
Patrick Koller: And 2021 will be at double digit operating margin.
Sascha Gommel: Okay, it's clear as well. And then my last question is on the working capital structure. I think you're now at an, let's call an all-time low, in terms of working capital. I think it hasn't been that that negative ever, ever. Are you feeling comfortable or is that something where obviously if we if we go into a volume decline that kind of exaggerates the cyclical swings in your cash flow? Are you considering kind of de-risking that or are you saying no, you feel very comfortable with that kind of structure?
Michel Favre: No we are comfortable - we stay comfortable. We are indicating in the document, number of days, please take into account that we have some sales, according to IFRS 15, administrative sales, which I have not booked, like model it, which is a net in the gross margin and we have as well some, we say some other things. So, figures are much more important to calculate as the number of days. As I say, customers, no discussion. Suppliers, it is a permanent with optimization and I say is contributing to that. And last but not least inventories. We have a target to reduce by one day, this year and also that next year, which means twice €90 million. So we will continue to improve our working capital.
Sascha Gommel: Understood. Thanks, Michel. Thanks, Patrick.
Patrick Koller: Thank you.
Operator: We will now take our next question from José Asumendi from JPMorgan Please go ahead.
José Asumendi: Good morning. It's José from JPMorgan. And yeah, very compelling set of targets for the next year. So you might be, so congratulations on that. Just two topics, one, can you talk a little bit about Clarion, the work you've done there to restructure the business in the last 12 months. Can you comment on the order backlog? And when you look at the product launches, you have 2021, can you comment a little bit about how the order backlog is shaping up in terms of the camera business, the display business and then if you can give us some hints around the profitability of those products? I guess we can discuss this also at the CMD but maybe just some high-level thought on Clarion, please on the are restructuring and the order backlog? And then Michel, just a clarification, what are the incremental cost savings you planning to book year-on-year in 2021? Thank you very much.
Patrick Koller: Michelle, you start with the last question, please.
Michel Favre: Yeah. Cost savings, minimum $50 million. Our budget is above this figure. For Clarion?
Patrick Koller: For Clarion, so, we achieved cost savings of €80 million. So it means that the integration of Clarion is now achieved and the main cost savings related to the organization is now achieved with 40% of indirect labor less than when we bought the company. We also worked on the footprint and we are not at the end of that. We will build a mega plant in China. We're reducing the footprint we currently have to one single plant. It will be dry at - in November of this year. And we will also continue to work on the bill of material, especially related to this crisis I think we have a few things to do even if we haven't stopped our customers, not one single hour. I believe that the focus also on our three product lines is paying off We have Cockpit Electronics, we have Display Technologies and AS. When you look at the €2.5 billion of order intake, it is well balanced with between three free product lines. The winner, if I may say so, from these free product lines are Display Technologies, where we are differentiating ourselves especially on the large displays. But you will see this afternoon the progress we've made. We have I think, the right mix now and the right technologies to be successful in each of them and you will see also that we are de-diversifying our geographies. In 2020, we made some significant progress in North America. We are starting in Europe. We made some order intake - relevant order intake in Europe, but we will continue in the years to come and we also have significantly increased the number of customers of for The Clarion Electronics.
José Asumendi: Okay, thank you.
Operator: We will take a follow up question from Horst Schneider from Bank of America. Please go ahead.
Horst Schneider: Yes. Thanks very much for taking another question. I just want to come back on this light vehicle production forecast. There you are so much more cautious than IHS, can you may be split that up by region for which region you see most of the downside risk? When I look at the IHS figures, I think they see the main downside at the moment concentrated on China and Volkswagen. Do you see more risk maybe in Europe or North America? Then just a follow up. Thank you.
Patrick Koller: I would like to maybe explain when we did that. So we did this when we decided to build when we fixed the assumptions for our budget. Sorry. So we did this at the end of last year. And we cannot change this, because this is related now to the targets we gave to our business groups. And it's not bad to have some tension related to the volumes. So as I said, IHS is converging, they are considering that they were maybe too optimistic in the first half and again, especially in the first quarter. We have an upside most probably in the first half which is around 500,000 vehicles. Where are the risks? The risks are in Europe, very clearly and a little bit less in North America. And this is the small take table, I proposed where I said Europe minus in Q1, at the level we are considering in the second quarter and a significant growth in the second half of the year. America, we believe that the risk is related only to the shortage of electronic components. We saw that some of the customers have a little bit more issues with that. But the inventories are very low in North America. So each produced car is sold. And I'm sure that there will be a recovery of any lost car in the U.S. China is doing very well. Of course we have we just passed the Chinese New Year. But the first quarter is robust. And we see here a robust situation all along the year. So I said it, if I would have to redo the budget today, I would be less conservative for sure, on the second half. We have clearly an upside, an opportunity in the second half, as long as we will not see a new crisis or new difficulties issues popping up. With what we know today, we should do better in the second half.
Horst Schneider: Just that I get that right. So the main downside risk effect is in Europe, right? Not in North America or China?
Patrick Koller: Europe is at the highest risk, if I may say so. But again, for the moment, we have not seen it materializing very much. We saw in January some lower volumes related to some lock downs so to the COVID situation. And we also see some difficulties related to the shortage of components but limited. We believe that this might last until with this proportion until the end of the first quarter and we should see an improvement in the second quarter in Europe. In America, it's again related to the shortage of components. In America they are living from hand to mouth. And then the demand is there and in China normal situation above 2019.
Horst Schneider: Okay, then just another brief follow-up. So I mean, there are a lot of uncertainties of course on the production and the market level. What would you say is then, I mean how conservative is your guidance on outperformance? I could imagine that finally Europe is stronger also the outperformance could be even stronger than in 2021, is that right or what's the level of conservatism built into that?
Patrick Koller: I think that you know an excess of 600 basis points is quite a good figure. So, we will see.
Michel Favre: But we are [prudent], that is your question?
Patrick Koller: Yeah, yeah, we are. You know, when we communicate figures, you know it, we communicate figure we are quite sure to be to be able to deliver.
Horst Schneider: All right. Thanks very much.
Michel Favre: Thank you. I think we have two questions. Now, we have two question from Internet. The first one is what is a part of E-Vehicle and big vehicles in your order book? Order intake this year I know that is 38% of the book is probably over 30%. It is accelerating, as you know, with the new platform of the customers but we have already, of the order intake, a higher share than what is forecasted for 2025.
Patrick Koller: And this will be detailed this afternoon, again, not only for the past year, but also for the years until 2025. And for Clean Mobility, especially we have a focus until 2030 which is needed for the hydrogen and the electrification part. What is your visibility on the electronic components shortage in S1 2021? We don't have visibility. So, the automotive industry has stopped ordering in April, at this period of time, consumer electronics increased its orders. In the same time, the 5G development and preparation increased the demand on microcontrollers. I believe that you know the consumer electronic will probably slow a little bit down because the peak is now behind us. The orders have been replaced. What is disturbing the supply chain is, as usual, in this case, you have some panic orders in order to rebuild some inventories. I spoke with one of these big electronic producers, component producer and he said to me that if he takes the automotive orders, the automotive production in 2021 should exceed 120 million vehicles. Okay, so what is needed and I know that all the OEMs are working with the tier ones on this is to give visibility to the supply chain. And this is happening. So I believe, but it's my, it's my guess with what I know from the situation that the peak of the disturbance will happen in March. And then after March, we will slowly recover until the end of H1. I think that after the summer break, we should be back to normal supply situation on electronic components. What I don't know is, this situation might be beneficial for some of the players of the supply chain which have no interest to normalize very quickly the situation, understanding that the pressure on the prices is there until the shortage will be over.
Patrick Koller: So I think that this is ending this session. Thank you very much for your attention. I hope that we will be together again this afternoon for the CMD. You will see a lot of technologies. And I think what is also important you will see some of our key team members to give you an idea on how this group is staffed and organized. See you then, thank you very much.
A - Michel Favre: Thank you.